Mark Macaluso: Thank you, Gigi, and good morning. Joining me in Stanford today are Luca Savi, ITT Inc.'s Chief Executive Officer and President, and Emmanuel Caprais, Chief Financial Officer. Today's call will cover ITT Inc.'s financial results for the three and twelve-month period ended December 31, 2024, which we announced this morning. Please refer to slide two of the presentation available on our website where we note that today's comments will include forward-looking statements that are based on our current expectations. Actual results may differ materially due to several risks and uncertainties, including those described in our 2023 annual report on Form 10-K, and other recent SEC filings. Except where otherwise noted, the fourth quarter and full-year results we present this morning will be compared to the fourth quarter and full year 2023 and include certain non-GAAP financial measures. The reconciliation of such measures to the most comparable GAAP figures is detailed in our press release and in the appendix of our presentation, both of which are available on our website. With that, it's now my pleasure to turn the call over to Luca who will begin on slide three.
Luca Savi: Thank you, Mark, and good morning. First and foremost, I would like to sincerely thank our ITT Inc. team for their commitment day in and day out to deliver for our customers. No matter the challenge. 2024 was a pivotal year for ITT Inc. We grew, outperforming most of our end markets. We executed, delivering significant margin expansion, and we are transforming our portfolio with the divestiture of Wolverine and the acquisitions of Vanooy and Qesaria. Let me get into 2024 financial highlights. We grew orders 10% or 5% organic, resulting in an ending backlog of $1.6 billion, up 34% year over year. We grew revenue 11% or 7% organic with a strong performance in all businesses, including also Arcisaria and Vanooy acquisitions. We expanded margin by 80 basis points to almost 18%. We generated nearly $440 million of free cash flow and delivered 12% EPS growth after over 17% growth in 2023. We did all of these while absorbing the loss of earnings from the divestiture of Wolverine and higher interest expense stemming from the acquisitions of Vanooy and Qesaria. As you can see, a truly remarkable year. The fourth quarter was equally strong. 12% revenue growth, or 6% organic, driven by pump projects and short cycle, and connectors. Operating margin reached 17.5%, with MT surpassing 19% and IP eclipsing 21%. EPS of $1.50 grew 12%, and we finished with a strong cash performance to CapEx 2024. On 2024, let me share some highlights. On revenue, all our businesses delivered outstanding growth. Connect and Control Technologies grew 9% organic, driven by continued growth in defense, industrial connectors, and also aerospace. IP grew 8% organic and high teens growth in pump projects. Motion Technologies grew 5% organic with friction outperforming global automotive production by 730 basis points, while Connie rail grew 20%. On profitability, strong volumes, coupled with favorable price cost actions drove 16% operating income growth, which is all the more impressive considering that we overcame the loss of $50 million of income from the Wolverine divestiture. MT margin finished at almost 19% and IP nearly reached 21%. With this performance, we surpassed our long-term margin target two years ahead of plan. As you can see, our above-market organic growth and margin expansion is creating shareholder value. And it is here to stay. And now we're compounding this with impactful M&A. In 2024, we deployed $865 million to the acquisition of Cryogenic Pan manufacturer Vanooy and the sales interconnect specialist Qesaria. And our strategy is starting to bear fruit. Vanooy orders grew 26% for the full year, and Qesaria already contributing meaningfully after just three months. These acquisitions were possible thanks to nearly $440 million of free cash flow. And importantly, our M&A pipeline remains active. On top of this, we returned more than $200 million to shareholders. I'm humbled by our team's efforts to drive these results. As friction outperformed in every region and in niche powertrain. As an example, in the internal combustion engine segment, we grew 1% in a market that was down 10%. Our connector team in Nogales operated for more than five years with a perfect safety record and achieved record growth and record profitability in 2024. And in Saudi, Halod and team continue to drive near-perfect on-time performance with unmatched service to our customers. To sum it all up, we grew. We executed. And we transformed, shaping our portfolio. With this performance in mind, let's turn to slide four to discuss the differentiation that we continue to feed ITT Inc.'s results. Our differentiation in Saudi Arabia has driven recurring wins in the region. For example, IP secured more than $30 million of orders on the Riyadh project, part of a $12 billion investment to be the natural gas processing facility in Jubail. And in 2025, we secured additional awards on this very project. This win built on earlier awards in the region, such as the Amurite project we previously talked about. Because of all of this growth, we continue investing in the region and expanding our manufacturing capabilities. Last November, I was very fortunate to be there, walk the grounds, and listen to how it and be energized by the local team sharing their vision for the new site expansion.
Emmanuel Caprais: Thank you, Luca, and good morning. We ended 2024 with a strong performance across the board, in orders, revenue, margin, EPS, and cash. Our teams delivered 6% organic revenue growth from higher volumes and price realization. IP grew 22% in pump projects and 7% in short cycle, while Vanooy added 16 points to IP's total growth. Just to note for the year, IP projects grew 19% organically after 31% in 2023. CCT grew 9% thanks to strong defense and industrial connected delivery, both of which were above 40% this quarter, while Qesaria contributed over 29 points to total growth, fully offsetting the Boeing work stoppage impact. In MT, Kony grew 12% on share gains and backlog conversion in rail, while friction outperformed global automotive production by 410 basis points. On profitability, operating income grew 16%, more than double the organic sales growth rate, primarily driven by higher price, productivity, and volume, despite the loss of earnings from the Wolverine divestiture. NP margin exceeded 19% with 220 basis points of margin expansion and a 120 basis points improvement sequentially to close out 2024. Notably, despite roughly $40 million less in revenue due to the Wolverine divestiture, MT was able to increase operating income. Once again, MT over-delivered. Moving to IP, the team drove 60 basis points of expansion to overcome 280 basis points of dilution from the Vanooy acquisition. Legacy IP expanded margin 340 basis points, driven by higher volume leverage, more favorable price cost, and continued sourcing and supply chain productivity. Finally, in CCT, excluding temporary M&A dilution, CCT margin would be up 66 basis points, driven by higher pricing actions and volume. The price renegotiations in aerospace continue with more to come in 2025. With the volume growth and price realization this quarter, we drove double digits earnings growth to $1.50 of EPS, overcoming roughly $0.07 of earnings loss from the Wolverine divestiture and $0.08 from higher interest expense related to M&A. Lastly, on free cash flow, our performance accelerated sequentially thanks to the efforts of our team to reduce inventory and drive stronger collections, as well as contributions from our acquisitions. This resulted in a 42% increase year over year and over 20% free cash flow for the quarter. Let's turn to the full-year EPS bridge on Slide six. Here you can see the main drivers of our performance, which are similar to Pupo. Operational performance from volume growth, price cost, and productivity compounded by accretion from our acquisitions allowed us to overcome headwinds from temporary amortization, the Wolverine divestiture, and higher interest expense. Keep in mind that most of these impacts were not considered in our initial guidance for 2024. Also continued to fund strategic investments for future growth, including our geopolymer brake pad formulation, our high-performance brake pad business, and the embedded motor drive. We delivered a strong performance with 12% EPS growth that previews the value creation potential of ITT Inc.'s portfolio. With this in our rearview mirror, let's now turn to page eight to discuss 2025. We enter 2025 with a robust backlog that is up 34% in total, fueled by our acquisitions and growth in legacy pumps and connectors. The large pump awards from 2023 and 2024 could start shipping in a meaningful fashion in 2025, while friction rail and connectors should continue to outperform. We expect this will drive revenue to over $3.7 billion with organic revenue growth of 3% to 5%, and the strongest growth expected in IP and CCT. We expect that our ability to continually reduce costs to our growing revenue will drive further margin expansion of 90 basis points to 18.6% at the midpoint. Contributions from our acquisitions are expected to increase considerably in 2025, to roughly $0.20. This will be driven by Vanooy's growth on new fuel vessels due to a 26% order increase in 2024. On Qesaria, the team continues to execute our plans with several large new orders expected in the first half of 2025 that will support our growth outlook. This results in EPS growth of 8% at the midpoint, even while absorbing an incremental $0.09 headwind from foreign currency given the stronger US dollar. Furthermore, if you exclude the roughly $0.17 of temporary amortization, which will end by the end of the year, EPS growth will be over 10%. Finally, on cash, we expect to generate free cash flow of roughly $475 million at the midpoint, amounting to a 12% to 13% free cash flow margin for the year. Let's turn to Slide nine to discuss our outlook in each business. Beginning with Connect and Control Technologies. Increased global spend on defense modernization platforms, coupled with a gradual Boeing ramp beginning in Q2, should drive strong demand in CCT. We expect Qesaria to add roughly 15 points of growth to 12. Industrial process is expected to convert its record backlog of more than $900 million powered by large project awards, which should generate mid-single-digit organic growth. In Motion Technologies, we expect friction to outperform global automotive driven by share gains in all regions, while growth in the aftermarket is expected to be in the low single-digit range. Longer term, Friction's high-performance business will be another catalyst for profitable growth. Unreal? We expect mid to high single-digit growth on the strength of share gains in Europe and China. Continued public investment in mass transit in North America. Let's turn to Slide ten to review our EPS bridge for 2025. Once again, most of our earnings increase is expected to come from organic growth and margin expansion in our core business. This will drive 8% EPS growth for the year at the midpoint. Importantly, we're absorbing $0.30 from the loss of earnings from the Wolverine divestiture, a higher effective tax rate, and unfavorable effects. I'd like to briefly discuss the phasing of our 2025 outlook. EPS is expected to be flat to slightly up in Q1. We anticipate a revenue decline in the low single-digit range driven mostly by MT due to the reduction in global vehicle production. While IPNTCT should be roughly flat. Operating margin should expand 90 basis points to just shy of 18%. Excluding the loss of earnings from the Wolverine divestiture and higher interest, EPS would be up approximately 6% in Q1, more in line with our full-year outlook. And we expect growth to ramp throughout the rest of 2025. Before we wrap up, I wanted to share our thinking on tariffs. Our 2025 guidance does not include any anticipated impacts. We are working diligently with our teams and supply chain organization to evaluate different scenarios and are developing granular action plans. We're looking to mitigate any impact through commercial and operational action. Return the call back to Luca to wrap up.
Luca Savi: Thanks, Emmanuel. Before moving to Q&A, let me summarize the key points from an outstanding year. We accomplished a lot in 2024. We grew. We executed. We transformed. We grew orders and revenue both by double digits. We executed, expanding our margin and surpassing our long-term target two years ahead of plan. We transformed through strategic acquisitions and divestiture, shaping our portfolio to higher growth and higher margin businesses. Moving forward, the formula remains the same for ITT Inc. Our value creation through organic growth and margin expansion is here to stay. And now, we're compounding to add even greater value through M&A. Finally, it is my pleasure to invite you to our next Capital Markets Day taking place on May 15 in New York City. A lot has happened since our last event in 2022. And importantly, there is much more to come. You will see our differentiation through execution, innovation, and now M&A brought to life. In addition, you will meet some of the entities who differentiate us from the competition and who drive our results day in and day out. I look forward to speaking with you throughout the year and seeing many of you in May or before. Thank you for your support of ITT Inc. It has been my pleasure. Gigi, please open the line for Q&A.
Operator: The floor is now open for questions. At this time, if you have a question or comment, please press star one one on your touch-tone phone. If at any point your question has been answered, please limit your questions to one question and one follow-up. Thank you. Our first question comes from the line of Joe Ritchie from Goldman Sachs.
Joe Ritchie: Hey, guys. Good morning.
Luca Savi: Hi, Joe. Good morning, Joe.
Joe Ritchie: Hey. Yeah. So congratulations on another, you know, strong year. I guess maybe where I'll start is just the guidance for 2025. I know you guys historically have tended to guide fairly conservatively. But maybe, Emmanuel, if you can just kind of step me through how are we thinking about the cadence for this year from an earnings standpoint? And are there any things that we need to be aware of particularly, like, in the first quarter just that could potentially impact Q1 and maybe, you know, gets better as the year progresses.
Emmanuel Caprais: Yeah. So as I mentioned, Joe, the cadence is a little tilted towards the second half of the year. So we have an unusually soft Q1. And so let's think about a little bit what the puts and takes here. So we expect Q1 to be, from an EPS standpoint, to be roughly flat to 2024. We have to keep in mind that the main impact here is the Wolverine divestiture, which results in less revenue and income, and that's about $0.06 of EPS. We also expect organic revenue declines of mainly 1% to 2% driven by MT, which is expected to outperform original equipment production, but overall, will still decline due to a lower auto demand. IP and CCT sales should be flat to slightly up. And overall, Q1 will be, in terms of sales, the lowest quarter by a point of it. However, all businesses are expected to expand margins. Excess CTC will be up 150 basis points if it wasn't for the Qesaria margin dilution, which is around 400 basis points. We will be impacted by higher interest expense, and this is due to the Qesaria acquisition that happened last September in 2024. And then in Q1, Vanooy and Qesaria do not contribute meaningfully to EPS. This is due to the temporary intangible amortization. And that will disappear in Q2 for Vanooy and in Q4 for Qesaria. So overall, we expect Q1 to start a little weak, but a nice recovery then in Q2 and Q3 and Q4, with continued margin expansion and also organic revenue growth.
Joe Ritchie: Super helpful and detailed. Thank you, Emmanuel. And then maybe the longer-term Chen, and I'm sure we'll get a lot more at the investor day in May. Look, you guys have done a great job on the margin expansion piece getting to your targets, you know, a couple of years in advance. The commentary around the price renegotiations on CCT is interesting. I'd be curious if you can maybe talk a little bit more about, you know, what's going on there and, you know, ultimately, the opportunity potentially within that segment.
Luca Savi: Sure. Hi, Joe. This is Luca. So I think that price is definitely a good lever in CCT. It has been a good lever in 2024. And we see we're gonna see more of that also in 2025. So we talked about some of the big contracts that have been renegotiating right now. And we are still in that process. And the signs are positive. I would say the price cost equation overall has been positive for the entire ITT Inc. in 2024. And it will be the same as well in 2025.
Joe Ritchie: Okay. Great. Thank you, guys.
Luca Savi: Thanks, Joe.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Mike Halloran from Baird.
Mike Halloran: Hey. Good morning, everyone.
Luca Savi: Hi, Mike.
Mike Halloran: Hey. Could you just talk about what we're seeing from an order pattern on the IP side of things, both from the short cycle side as well as the project activity? You know, obviously, strong backlog coming into the year. How is that backlog feeling? I know you commented on robust short cycle there. What are you seeing kind of sequential dynamics and anything worth noting in some of the end markets?
Luca Savi: Thanks, Mike. Orders were good in Q4. So let's leave the acquisition aside for a second. If we look on an organic perspective, the orders grew 12% in the quarter. Projects were up 25% and short cycle, Mike, was up 8%. Two percent was price, six percent was volume. And particularly good in Q4 was service parts and valves. Now if we look at Q4, our weekly run rate of orders was the second highest on record. Q4 was actually the best ever. So Q4 has been really good on the short cycle. On a full-year basis, you know, our organic orders were up 5%. Projects were 13% up year over year, and this on a tough compare, last year was a very good year and up 20%. Short cycle, like you asked, was 2% for the full year, one price and one volume. If you add to that, and that will be my last comment on Vanooy, had a book to bill of 1.3 for the full year. And their orders grew 26%. So a very good performance from another perspective on Vanooy as well.
Mike Halloran: And I suppose how are you expecting that to roll through to this year? From a trend perspective? I mean, is that front log as opportunity is still really strong? In what are the customers saying? And so maybe just kind of roll through the momentum and how you think that's out.
Luca Savi: So audio is so and so, so I hope I got the question. You tell me if it's if I'm not answering your question, Mike. So in terms of the funnel and the opportunities, it stays rich. I have to say with the book to bill, performing orders, our funnel came down a little bit. At the end of January, it was probably down 8% or 10% year over year, but it's still very high. And good opportunities are across different regions. Particularly when it comes to the Middle East. The fund in Latin America is even higher than last year. And, of course, there are customers talking about further investment because also some changes that are happening with the new administration.
Mike Halloran: Great. Thanks.
Luca Savi: Thank you, Mike.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jeff Hammond from KeyBanc Capital Markets Inc.
Jeff Hammond: Hey. Good morning, guys.
Luca Savi: Hi, Jeff.
Jeff Hammond: I just wanted to understand the temporary intangible amortization. So last quarter, you called out $0.21 going away. Maybe that is, but get a footnote with $0.17 intangible. So just trying to understand the delta because I guess, I look at you know, you're $5.86 this year plus you know, that $0.21 is kind of your starting point. And that would imply just kind of limited earnings growth in the guide.
Emmanuel Caprais: No. So in 2024, we had $0.17 of intangible amortization temporary. And we expect that number to be roughly the same in 2025 around $0.16. So we don't really get any benefits from intangible amortization disappearing. We will start getting a benefit for Vanooy in Q2, but that is compensated by the Qesaria intangibles that will run the amortization will run until the end of Q4.
Jeff Hammond: Okay. Maybe give us a sense of core, you know, these acquisition piece moving pieces is it makes it messy, but core incremental margins, in the fourth quarter for IPCCT. It looks like underlying margins were really good, but again, masked by the deal. And then just on 2025, I think the midpoint is 90 basis points of margin expansion. Just I don't know if order magnitude where you see the segments lining up again, I know there's noise, you know, segment by segment. You know, given the deals.
Emmanuel Caprais: Yeah. So on the incremental, see, in IT, we had a really good performance. 64% in Q4 and then 44-45% for the full year. That's excluding the impact of acquisitions. And for CCT, for the full year, we were around 20%. And then if we look at 2025, we expect really good incrementals to continue in IP at around 60 between 50 and 60% and also CCT pretty good incrementals as well. In Motion Technologies, obviously, the incrementals don't really work because we are increasing the OI and reducing the revenue. And that's why Motion Technologies is expected to be at 20% in 2025.
Jeff Hammond: Okay. Appreciate it, guys.
Luca Savi: Thank you, Jeff.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Scott Davis from Melius Research.
Scott Davis: Hey, good morning, guys.
Luca Savi: Hi, Scott.
Scott Davis: Congrats on a great year. Hey, slide eighteen, you guys just referenced the M&A muscle and I you said it a couple of times in the prepared remarks. But what does that really mean functionally? Is that diligence and integration? Is it more that you beefed up the diligence side? Kind of walk us through the changes you've made at least and what that really means to you guys.
Luca Savi: Okay. Hi, Scott. I think that when you see it in the results of 2024, right? And you see in the capital deployment that has happened in the last couple in the last five years, where roughly $1.2 billion is through M&A. Now when you look at right now what it means, there is a lot of cultivation. So there is a lot of cultivation going on between the businesses and also the enterprise with our target. So if you think about both Vanooy and Qesaria, and Habonim, they are the last three acquisitions. Those were cultivated and in a couple of those, we were able to get to an exclusive deal. Now I'm not saying that this is gonna happen always, but today, we are busy in cultivating and developing the relationship as well as some due diligence in some of the deals. Obviously, you hear only the one that we are executing. But in the last few months, also, we walked away from some opportunities where we had the due diligence.
Operator: Thank you. One moment for our next question. Next question comes from the line of Damian Karas from UBS.
Damian Karas: Hi. Hey. Good morning, everyone. So I wanted to ask you about your guidance for Motion Technologies, kind of up low single digits for the segment. Could you maybe spell out a little bit more what you're baking in in terms of global auto production and how much you're expecting friction to outperform, as well as, you know, Kony and the rails business.
Luca Savi: Sure. So when you look at 2024, obviously, auto production had a tough year in 2024. North America and Europe were down. China showed the residencies and went up. So when it comes to 2025, on the positive side is we see that the inventories are down worldwide as well as in Europe and in China. But we project the production to come down to roughly 89 million vehicles produced. So it's a little bit of a decline worldwide. And we have China flat, our assumption, and Europe and North America down with Europe probably being worse. When it comes to the we continue to think that we will outperform the market and we're thinking roughly 400 basis points of outperformance in the market. And this is for auto. When it comes to rail, we have a good backlog. And we had two years of outperformance in rail with Kony and Axel. So we think that we will continue to outperform that as well.
Emmanuel Caprais: And if I could slip one point on profitability. So as I mentioned, we 20% in 2025. And a lot of it is gonna be driven by productivity. You know, Motion Technologies is an engine for productivity and we expect around 150 to 200 basis points of margin impact coming from productivity. We will also have a positive impact on price because we continue to be able to offset the cost inflation that we received in 2022 and 2023, by not giving it back entirely in 2024 and in 2025. So we are very attentive to this because it's important for us, as we said many times, to overall over several years to recover the entire cost inflation that we suffered from starting in 2022.
Damian Karas: That's very helpful. And sticking on the Motion Technologies business, could you possibly give us an update on how friction is doing in the high-performance market? Any trends that you're seeing there, as well as you know, are there any possible strategic changes this year? I know in the past, you've talked about exploring maybe opening up into some of the aftermarkets in Asia, China specifically, or maybe moving a little bit into the light vehicle trucking side of the friction market. We appreciate any perspective on that.
Luca Savi: Hi, Damian. So let me start with the second question first. So as of today, no. We keep on exploring and we keep on strong action put in place that will change the direction of Motion Technologies and friction. When it comes to the high performance, the project is progressing well. As a matter of fact, two weeks ago, Daniel and the team sent me a video of all the automation in actions in the plans. And the photo of the first brake pads for our customers being produced. So we are ramping up production. We will be able to launch the program, the platform that we're supposed to launch in Q1 and in Q2 perfectly on time. And then we also took our board of directors there in October to monitor, to witness the investment that they authorized and to monitor the progress and the level of automation that we have on the plan. So very good progress. Now what you will see in 2025, we are ramping up these programs. We are winning what we had in the clients, so the business case stands, and it probably is also a little bit better. You will not necessarily see a lot in 2025 because, of course, we are launching will start seeing more sizable impact in 2026 and 2027. But remember, if you will see probably more on the profitability side than on the growth side because of the business that high performance is.
Damian Karas: Appreciate the update. Good luck with everything.
Luca Savi: Thank you, Damian.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Nathan Jones from Stifel.
Nathan Jones: Morning, everyone.
Luca Savi: Hi, Nathan.
Nathan Jones: I guess I'll start on the tariff side of this because you know, you guys have some fairly material operations in Mexico. So, obviously, there aren't any tariffs yet, but there may be. So a couple of questions around those. Firstly, I would imagine the Motion Technologies business, the brake pad business in Mexico, primarily sells to OEMs in Mexico. So any tariffs on those brake pads would actually be on the OEM rather than on you. Is that the correct way to think about the at least, the brake pad business?
Luca Savi: Okay. So, Nathan, you are on the right track there. And in terms of you really need to look at case by case. So if you take specifically our Silao plant in Mexico, you really need to be surgically super granular. Let me give you an example. If you take one platform, where we are on the front and the rear, the front axle brake pad that gets delivered to a tier one in Mexico. So that's not gonna be impacted by the tariffs. Now if you look at the rear axle, the rear axle brake pad comes to the US to a tier one plant in the US. But then after it has been assembled, for the majority of it goes back to Mexico to the OEM assembly plant, where they assemble the vehicle, and a small portion stays in the US. So you really need to go to be surgical, go contract by contract, platform by platform, front and rear axle, and even within the rear axle, as an example, USM split. So you really need to do this work. And what I can tell you is that our business, our supply chain leader are already working on this front, and we have our action plans to be ready to be executed and so but that's the case for Motion Technologies.
Nathan Jones: So, well, let me ask it this way. You guys obviously had some issues with auto OEMs passing through inflation during COVID and are still recovering that now. But you have commented that some of those contracts have been changed so that inflation passes through, on a bit more of a real-time basis to the OEMs. Would that be the case if you saw tariffs, or would you need to pursue pricing? Then I guess seeing as it's part of my follow-up question, I'll ask you to talk about the potential impact of tariffs on the CCT business as well. Thanks.
Luca Savi: Sure. So when it comes to the OEMs and tier ones, you really need to have a look at the case by case, Nathan. And so we are working both and we have actions here both on the operational side as well as a commercial side, and we've already started talking to our customers on that front.
Emmanuel Caprais: Yep. And then, Nathan, if we talk about CCT, so you know that we have a large footprint in Nogales with our Maquiladora plant there. And this is and Nogales is one of our best-performing plants. You heard earlier that this is a plant that has five years without any safety incident and achieved record profitability and growth in Q4. So we'll need to address the eventual tariff impacts both commercially, that means to price, and also operationally by driving more productivity. So I think that in CCT, one thing that is important to note is that similar to IP, there is a lot of the business that goes through. And so for those customers, we've already started sending letters to inform them of the situation. So that would be pretty straightforward. The other piece is we have defense contracts also, and we'll need to talk it with our customers. So I would say also here, a very complex subject. And we are obviously driving a lot of the actions right now in order to be ready when tariffs take effect. And if I may add, Nathan, in your note, you were asking also about the differences with the competitors. Right? As a matter of fact, when you look at the CCT and the connector business, and you move across the border, you will see the footprint the connector footprint of ITT Inc. for sure, as you said, but of many of our competitors too. So it's an industry-wide issue that needs to be tackled.
Nathan Jones: Great. That's awesome. Thanks very much for the color.
Luca Savi: Thanks, Nathan.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Joe Giordano from TD Cowen.
Joe Giordano: Morning, Joe. How are you?
Joe Giordano: Good morning. Hey. How are you? Just going back to the IP side, you think about your guidance mid-single digits, it feels fairly conservative just given the level of orders that you've won. I'm just curious how when you build that out, is it are you kind of layering in potential elongation of project timelines due to, like, you know, geopolitical type stuff. Just curious how you came up with that. It just feels like maybe there's upside to that number where the orders are.
Emmanuel Caprais: Yeah. So when you think about the sales guidance for IT, I mean, we are in the mid-single digits. So you're talking, you know, 5% to 6%. Which is really strong in addition to the 8% we grew in 2024. So I just want to state directly to set the record here because I think those are pretty strong numbers. And definitely, the market is not growing by those percentages. Think one thing to keep in mind is that you're right. Orders have been up. And our project orders have been up. But keep in mind that a project takes around 12 to 18 months before it converts, and those are for, like, the small to medium-sized project. If you talk about some of those decar projects that we got, it's more like 24 months. So we will start seeing some of those projects convert in 2025, but it'll be towards the latter part of the year. And as a result, we won't get as much growth as the level of orders could imply. And if I may build on what Emmanuel said, Joe, is that what you may remember a couple of years ago, our backlog was made 60% of short cycle and 40% of projects. If you look at today, our backlog is at 57% project and 43% short cycle. So it's been shifting. So this is one point. Which makes the improvement in terms of the profitability of IP even more outstanding. Because you know that projects are generally not as profitable as a short cycle.
Joe Giordano: Okay. Yeah. That's all fair. I'm still probably gonna take the over on your growth there. But I appreciate the comments. Luca, just given what's going on politically now, does it you've done so well with some of these international deals. Does it change your strategy on acquiring businesses that are based outside the US given what's going on with tariffs and all the rhetoric there?
Luca Savi: Well, if you look at the last three acquisitions that we have made, they've been very successful and they will be successful in the foreseeable future. Also with the geopolitical situation that we have. Now think about Vanooy. Vanooy is a global business. Absolutely. But it plays an incredible role in the energy transition. So we're talking about what the new administration is doing with the LNG that plays in our field. What is happening with LPG that plays in our field. So it's very high success. If you look at Qesaria, Qesaria is the connectors. We focus particularly on the air and defense. This automatically is mainly in North America, so this is good. The only thing that I would say we might have been impacted geopolitically with a happen because it's our valves business. Great global business, and with our factory in Israel. So now the team has been incredibly resilient. The results have been good. Even with extra costs that we put in the business just to protect our people. Now so our focus on flow on connectors, when it comes to connectors, mainly aero and defense, I think it's not really changing. And on top, I would say, you know, bear in mind that our strategy is always to be in the region for the region. And for trying to reduce some of the challenges that we could have. And think about also the divestiture. On the other side. I would say that now we are in a better position than we were in 2018 regarding tariffs because we divested Wolverine. Was the business that was most impacted by it.
Joe Giordano: Thanks for the color, guys.
Luca Savi: Thanks, Joe.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brad Hewitt from Wolfe Research.
Brad Hewitt: Hey. Good morning, guys. Thanks for taking my question.
Luca Savi: Hey, Brad. Good morning.
Brad Hewitt: So maybe sticking with IP, just curious within the mid-single-digit organic growth outlook, there for 2025, how does that break down between projects and short cycle? And then from a margin perspective, it looks like you're implying about 100 basis points of margin expansion ex Vanooy. So just curious if you could kind of break down the drivers of that 100 basis points kind of on the legacy IP business there.
Luca Savi: So let me address the improvement in terms of margin in IP. If you look at, you know, we expect our legacy business IT to continue to improve the margin. Absolutely right. And this is even more of them. You're seeing that project will play a bigger role. Now some of it will come by with price. We will have a price cost equation that is gonna be positive. Some of it will be on the supply chain. I think there is a lot of work that we can do on the purchasing side to gain profitability on that front. And then there is also a lot on the productivity side in our operations. You know, I was in Seneca Falls together with Andy and with Bartek, and we know that we have productivity in the way that we can bring home in the way that we run our machine. And I would say that on a legacy point of view. And then we also have an improvement with the acquisition.
Emmanuel Caprais: Yeah. So a few things to keep in mind. So you're right, Brad. The margin is expected to in IT is expected to increase by a little bit more than 100 basis points. That is including the Vanooy dilution, but given the fact that Vanooy started mid-January, the dilution is pretty low. Right? So we expect strong, as Luca was saying, strong volume, strong price. And very positive price cost. Now if you think about, as Vanooy, as it compares to 2024, gonna continue to see margin expansion and super strong growth. Right? We're expecting Vanooy to grow in the double digits, from a revenue standpoint. And EBITDA to also expand, and we're gonna be closer to the 20% mark, a little bit below the 20% mark. So we are doing well. The team is performing well. And we are making sure that we at ITT Inc. can add value to their business model.
Brad Hewitt: Okay. That's helpful. Appreciate that. And then maybe as we think about CCT margins, it sounds like margins for 2025 ex Qesaria should be around 20.5%. So just trying to think about as the Qesaria amortization winds down at year-end 2025, do you still think the 22% margin target in 2026 could be in play for CCT?
Emmanuel Caprais: Yeah. That's correct, Brad. You nailed it. 2025 without Qesaria will be above 20% for the full year. Qesaria will be around 300 basis points of dilution impact. And so that sets us well given the fact that we'll be between 20 and 21 probably closer to 21, that sets us well for us to achieve achieving. So that's 22% margin target in 2025 excluding Qesaria.
Brad Hewitt: Great. Thanks, guys.
Luca Savi: Thanks, Brad.
Operator: Thank you. One moment for our next question. Our last question comes from the line of Vlad Bystricky from Citigroup.
Vlad Bystricky: Good morning, guys. Thanks for taking my call. I'm squeezing me in here. So just following up and digging in on some of the questions around, you know, backlog and visibility. I guess just going into the year, you know, it's a billion six of backlog, can you give any color on how you're thinking about how much of that converts actually within the year versus the portion that might be, you know, longer dated tied to some of those longer projects.
Luca Savi: So Vlad, now I've seen that the order performance has been fantastic. You see it in the book to bill of Vanooy. You see it in the legacy business of IP. You see it with Honeywell that the orders that went up 37%. Now when you look at all these businesses, they tend to be more long-term. Think about it in rail. You win an award. You win a plus and you might win that platform for the next, you know, 20 years. We talked about the project backlog in IP. You know? Two years ago, 60% was short cycle and 40% project. Now it's the reverse. Almost 60% is project and 40% short cycle. And those projects in IP tend to have an execution of two to three years. The prepared remarks, when we talk about the Riyadh project or the Amira project, those projects that are project that we lost two years, and some also of the green project that we won for with carbon capture. Those are projects that have lasted two, three years, and we're gonna close in 2025. Now in another data point, I would say when we look at IP, probably today, our sales coverage is above 40% for 2025.
Vlad Bystricky: Thanks, Luca. That was helpful color. I guess, just one last follow-up for me. Just on the CCT, mid-single-digit organic growth, I know you mentioned in the slides Boeing expected ramp beginning in Q2. I guess, can you talk about how material that Boeing ramp is to your outlook and how you're thinking about or how we should think about any potential risks to that growth if, you know, if there are operational challenges there, you know, linger more than what's baked into your outlook.
Emmanuel Caprais: Yes. So if you look at our aerospace expected revenue, we're still expecting this to be down in the low single digits in 2025 compared to 2024. So I think that with what we know, that has been communicated by the customer, we think that our forecast is appropriate. You know, as we mentioned in the past, you know, Boeing represents roughly $10 million in terms of revenue per quarter. So it is meaningful, but I think that given what's happening in defense, for instance, and what's happening in medical, in our connectors business, we expect that we're still gonna be able to deliver with roughly 4% to 5% in terms of growth for CCT in 2025.
Vlad Bystricky: Great. Thanks, Emmanuel. And, Vlad, I just want to make sure you and everyone else saw the mention of the Capital Markets Day on May 15. So you'll be able to see a lot of the stuff we talk about sort of come to life, and I hope you and everyone else can join us then.
Vlad Bystricky: Looking forward to it. Thanks, Todd.
Emmanuel Caprais: Thank you.
Operator: Thank you. This does conclude today's conference. Please disconnect your lines at this time and have a wonderful day.